Operator: Greetings, welcome to the Oshkosh Corporation Reports Results for Fourth Quarter. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Pat Davidson, Vice President of Investor Relations for Oshkosh Corporation. Thank you, Mr. Davidson, you may begin.
Patrick N. Davidson: Thanks, Rob. Good morning, and thanks for joining us. Earlier today, we published our fourth quarter results for fiscal 2011. A copy of the release is available on our website at oshkoshcorporation.com. Today's call is being webcast and is accompanied by a slide presentation, which is also available on our website. The audio replay and slide presentation will be available on our website for approximately 12 months, and please refer now to Slide 2 of that presentation. Our remarks that follow, including answers to your questions, include statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to be materially different. These risks include, among others, matters that we have described in our Form 8-K, filed with the SEC this morning, and other filings we make with the SEC. We disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly earnings conference call, if at all. During our fourth quarter of fiscal 2011, we recorded pre-tax non-cash charges of $7.9 million or $0.07 per share for the impairment of certain facilities in our defense segment and intangible assets in our Fire & Emergency segment. For comparison, we recorded pre-tax non-cash impairment charges of $9.1 million or $0.06 per share during the fourth quarter of fiscal 2010. Unless otherwise noted, all financial results that we discuss today are adjusted to exclude these items. Presenting today for Oshkosh Corporation will be Charlie Szews, President and Chief Executive Officer; and Dave Sagehorn, Executive Vice President and Chief Financial Officer. Let’s begin by turning to Slide three. And I'll turn it over to you, Charlie.
Charles L. Szews: Good morning to all of you on the call. In addition to discussing our fourth quarter results, we plan to update you on our markets and operations, including our MOVE strategy and the progress we’ve made on the FMTV program. We’ll also discuss our current outlook for fiscal 2012. No effect has contributed our better than anticipated performance in the quarter. Access Equipment sales were ahead of expectation. Our defense segment shipped more trucks than previously projected and we had expected to make a lump sum payment related to our Union contract negotiation. Overall, total company sales increased slightly to $2.1 billion for the fourth quarter of fiscal 2011, linked adjusted earnings per share of $0.48. This compares to sales of $2.1 billion and adjusted EPS of $1.34 billion for the same quarter last year. The primary driver of the year-over-year decline in adjusted earnings per share was lower operating income in our defense segment, as higher margin M-ATV sales in the prior year quarter were replaced with FMTV sales. Our U.S. Access Equipment customers continue to replace their aged equipment and have already began to place large orders for calendar 2012. While we are encouraged by this outlook, we are mindful that we may need to stay close to monitor our business trend. Access Equipment sales to external customers in the quarter were up more 60%, and orders were up more 90% both compared to prior year quarter. These sales were led by strengthened North America followed by solid performance in parts of Europe. We continue to increase FMTV production rates during the quarter and are reaffirming our belief that the program will become profitable in the second quarter of fiscal 2012. 11 integrated project teams are focused in turning the program to profitability; and I’m encouraged by the progress made to-date, this is a top priority for us. As we discussed last quarter, we spent six months reviewing, analyzing and assessing our business as we determine the best path forward for Oshkosh Corporation to deliver increased shareholder value. That path is the MOVE strategy that we have outlined last quarter. The MOVE strategy is focused on the aggressive cost reduction in organic growth initiatives involving innovation and pursuant global market opportunities as we prepare for recoveries in our market. We are investing in fiscal 2012 to support MOVE initiative that will benefit the company in fiscal 2013 and beyond. This is too early to discuss results at this time, but we'll provide more details regarding our approach later in fiscal 2012. Please turn to slide four. As I mentioned earlier, the U.S. access equipment market has continued to rebound. We’ve recently been discussing 2012 requirements with many of the larger national [oil] companies. Replacement demand and increased rental penetration continues to be the primary drivers for our growth in this segment. U.S. rental companies have experienced strong utilization rates, improved rental rates, and higher used equipment values, which has given them the confidence to upgrade their fleet. We are also seeing some pull forward of telehandler orders in advance of diesel engine emission standards changes next calendar year. As we explained on our third quarter conference call, the European access equipment market is on the path to a recovery, but is running behind the U.S. market in terms of time. While we remain excited about our applications for access equivalent globally in emerging markets in construction, mining and infrastructure application. But there has been a great deal of speculation and commentary, there remains a little clarity on future U.S. defense spending. What is clear however, is that, there will be cut to future defense spending, but the range of cuts could be anywhere from $450 billion to over $1 trillion over a 10 year period, sequestration is triggered. Tactical wheeled vehicle programs will face their share of these cuts in order to be successful and achieve our target $2.5 billion of ongoing defense business, we will need to continue to perform on our current programs as well as win some new ones. We expect the new programs; we recently submitted our proposal in two vehicles for testing for the Canadian TAPV program. Draft RFPs for the army Humvee recap program recently renamed as the MECV program and for the JLTV EMD phase, we also recently issue. We expect final RFPs for these program distribution in next one to three months with proposals due in the first calendar quarter of 2012. We’ve been using the JLTV requirements as a basis for developing our newest vehicle, the L-ATV, which we recently launched and is known as sixth generation of technology and equipment upgrade. We believe there is no vehicle in fleet that comes close to matching the L-ATV’s light weight combination of mobility and survivability. And of course, this vehicle is designed to deliver the reliability and durability that Oshkosh vehicles are known for at our customers’ price point. Our businesses that rely on municipal spending like the domestic fire truck operations continue to experience soft demand during the fourth quarter. We counteracted some of the impact of weaker domestic demand by achieving some noble successes in the international market. For example, we continue to experience a great deal of success in China with sales of Pierce fire truck, in airports around the globe with sales of our aircraft rescue and firefighting equipment and snow units. We don’t expect the domestic fire truck market to improve until fiscal 2013 at the early. Moving to our commercial segment, the quarter ended with a strong order book for refuse collection vehicles, this back log is populated with units that we expect to deliver in our first fiscal quarter of 2012 as customers look to take advantage of large depreciation, tax incentives that are said to expire on December 31, 2011. Finally, domestic concrete mixer market continues to move along a very slow pace, it’s unlikely that we will see any substantial pick up in this market until there is some sustained improvement in the housing market. If there is reason for some optimism, we’ve recently taken initial orders for a CNG powered mixer truck, you may recall that CNG powered RCVs have become about 20% of our RCV business, and the economics of using these vehicles continue to become more favorable. Let’s turn to slide five, and we’ll provide an update on our operations initiative. Despite the challenging environment for defense, we have some good news to report. We recently agreed to a five year contract with our Oshkosh Defense production employees, crew members of the UAW, who believe this agreement is fair to both sides. As I mentioned earlier, we made strong progress in the FMTV program during the fourth quarter, consistently producing 25 to 26 trucks and 10 trailers per day, on a test basis achieving daily production of well over 30 trucks and 15 trailers per day. In addition to the continued ramp up in production rate, we brought a number of processes in house and continue to improve our efficiency. These actions have significantly reduced our per unit cost in those program, and provide us with confidence that we will continue to improve performance going forward. You may recall our comments in July regarding the potential, the payer availability issue for family of Heavy Tactical Vehicles programs. We initiated monthly all-hands meetings with the Army, Marine Corps, and joint programs customers, as well as our tire supplier and the other MRAP OEMs to manage the issue in a coordinated proactive manner. This process is alleviated from this shortage and enabled us to produce trucks without interruption in the fourth quarter. However, to support our trucks in Afghanistan, we now believe that the U.S. government will be diverting even more tires to higher rated DX programs. We expect that this issue could affect us through much of fiscal 2012 and with the later timing of some of our family of Heavy Tactical Vehicle sales in fiscal 2013. The impact of the delays reflected in our new fiscal 2012 outlook for defense that Dave will share with you shortly. And for those of you who did not get a chance to meet him at the A USA show in Washington D.C., last month, I'm pleased to welcome John Urias as President of our Defense segment. John is a tremendous asset to our Defense business and brings a rich history of leadership and excellent experience from his days as a Major General in the U.S. Army working in the acquisition core, and from his management experience in industry. Turning to access equipment, we continue to work to mitigate supply chain issues in this segment during the quarter as our suppliers struggle to keep pace with the recovery. Our supply chain and operations teams have been working diligently to improve the situation and we have seen some progress. However, we believe supplier competitive constraints will continue impact JLG into fiscal 2012. We also continue to experience material cost pressure in the quarter, which impacted our results in this segment, consequently we have announced additional price increases in the access equipment segment. These increases are effective January 1, 2012, as material cost pressures has been felt across the industry, we expect that such price increases will be sustained. Finally, actions that are in progress now that will benefit operations later in fiscal 2012 includes the European consolidation of our access equipment business and the consolidation of parts of our manufacturing operation in Florida for our Fire & Emergency segment. We struggle with the consolidation of manufacturing into our Florida facility, and have reassigned some great talent that deliver the same as we expect from that project. We expect to make significant progress there over the next 90 days. Now, please turn to slide six and Dave will take us through a brief discussion of our financial performance for the quarter and our updated expectation for fiscal 2012.
David M. Sagehorn: Thanks, Charlie. Consolidated net sales for our fourth fiscal quarter were $2.12 billion, essentially flat with the same quarter last year. Higher FMTV and access equipment sales were largely offset by lower M-ATV related and TAK-4 independent suspension sales along with lower fire apparatus sales. Sales to external customers in our Access Equipment segment were up more than 60% compared to the fourth quarter of fiscal 2010. Orders from external customers in this segment were up 91% and backlog was up approximately 270% both compared to the prior year quarter. We believe that some of the increase in orders and backlog versus the prior year is the result of rental companies placing orders for the next calendar year earlier than they did last year. The year-over-year decrease in fire apparatus sales along with lower RCV sales is largely a reflection of the continued weakness in municipal spending that Charlie mentioned earlier. Adjusted operating income for the quarter was $81.7 million or 3.9% of sales compared to $242.7 million or 11.5% of sales in the prior year quarter. The shift in the Defense different segment from higher margins M-ATV sales to FMTV sales was the largest driver of the decrease in operating income. Although, still generating a loss in the quarter as expected, we saw a significant improvement in FMTV performance in the fourth quarter. A $9.9 million fourth quarter loss in this program was approximately $12 million better than the third quarter, and nearly 70% higher sales. Higher than expected material costs in the access equipment segment and an adverse sales mix in our Legacy Defense Programs also contributed to the lower operating income margin in the quarter. Fourth quarter results also included $6.9 million of restructuring related costs in the Fire & Emergency segment associated with previously announced facility rationalization actions. Adjusted earnings per share for the quarter was $0.48 compared to adjusted earnings per share of $1.34 in the fourth quarter of fiscal 2010, reflecting the impact of the items just mentioned. And we paid down an additional $51 million of debt in the quarter bringing the full year debt reduction to $241 million. Please turn to Slide 7 for a discussion of our outlook for fiscal 2012. We continue to view fiscal 2012 as a transitional year characterized by a continued rebound in our access equipment segment along with a significant sales mix shift in our defense segment towards a higher percentage of FMTV sales. We are lowering our defense segment outlook for fiscal 2012 to reflect our current view of the tire availability issue that we first talked about last quarter. Based on the most recent information received from the tire supplier and our government customers, which identified increasing constraints for the specific type of tire used for our FHTV program, we are removing approximately $225 million of sales from our fiscal 2012 expectations versus our previous outlook. We expect these sales will move to our fiscal 2013. The impact of this change is that we now expect our fiscal 2012 defense segment sales to decline by approximately 15% compared to fiscal 2011. By moving higher margin FHTV sales into fiscal 2013, and increasing our planned spending on new product development largely to support delays in the vehicle competitions described earlier, we now expect that defense segment fiscal 2012 operating income margins will be below 5% for the year. Our outlook for fiscal 2012 access equipment sales remains largely unchanged from our previous outlook, although we now expect that sales will be up approximately 20% compared to fiscal 2011 due to access equipment sales in the fourth quarter of fiscal 2011 that were higher than previously estimated. Recent positive comments from large national [oil] companies and their outlook for 2012 and the strong backlog in this segment at December 30, support this robust sales outlook. We also continue to believe that operating income margins in access equipment segment will be in the mid-to-upper single digits in fiscal 2012. The higher material costs experienced in this in the fourth quarter are expected to continue to impact us in fiscal 2012, but we expect the recently JLG price increase to offset much of the material cost increase starting in our second fiscal quarter. Turning to our Fire & Emergency segment, we now expect that sales will be roughly flat with fiscal 2011 due to Fire & Emergency sales in the fourth quarter that just ended that were lower than previously estimated. This outlook reflects our expectation of continued weak municipal spending throughout the fiscal 2012. We continue to expect Fire & Emergency operating income margins will be in lower single digit range in fiscal 2012. Benefits from previously announced restructuring actions and reduced restructuring related costs are expected to result in improved performance versus fiscal 2011, and relatively flat sales. Lastly, for the commercial segment, we believe that sales will be slightly higher that fiscal 2011 with RCVs sales representing the bulk of the improvement. We believe that the domestic concrete mixer market will remain very challenging in fiscal 2012. We expect the operating income margins in this segment will be similar to fiscal 2011 margin. Corporate expenses are now expected to be flat to slightly higher compared to fiscal 2011 in part to support investments in MOVE initiatives. We also continue to expect modestly lower interest expense reflecting the full year impact of fiscal 2011 debt reduction and the upcoming expiration of our interest rate swap in December. And our tax rate is expected to be approximately 33% to 35%. Turing to the balance sheet. We continue to believe that we will experience modestly negative free cash flow in fiscal 2012 driven by lower earnings, lower performance based payments from U.S. government, higher working capital requirements in our rebounding access equipment segment and anticipated capital expenditures of $85 million to $95 million. In the first quarter, we expect relatively strong performance in the defense segment driven by the expected sale of more than 400 M-ATVs. We expect that seasonally weak sales and higher material cost not yet offset by the recently announced price increase will impact access equipment results in the quarter. We expect lower sales and an operating loss in the Fire & Emergency segment in the first quarter as our teams drive to targeted efficiencies at our Florida operations and we expect relatively strong performance in the commercial segment driven by bonus depreciation led demand for RCVs. We believe first quarter earnings will approximate one-fourth of our earnings for the full year, whereas we typically experience a seasonally weaker first quarter. With that, I will turn it back over to Charlie for some closing comments.
Charles L. Szews: Okay, Dave. Despite adverse marketing conditions in many of our businesses, our 13,000 plus employees put in a tremendous effort in fiscal 2011 as we delivered mission critical vehicles and equipment to our customers. As we look forward to fiscal 2012, we see the opportunity to set the foundation for another period of growth for Oshkosh Corporation. The FMTV program is heading in the right direction, and we are on track to deliver future profits on this important program. Our access equipment segment continues to rebound from historically low levels and we expect continued improved performance from this segment. We are all focused on executing our MOVE strategy, which I’m confident will position us to deliver a significant shareholder value in the coming years. Thank you for your continued support and interest in Oshkosh Corporation. I will turn it back over to Pat, and the operator to begin the Q&A.
Patrick Davidson: Thanks, Charlie. I’d like to remind everyone to limit their questions to one plus a follow-up, and after the follow-up we ask that you get back in queue if you would like to ask an additional question. Rob, please begin the Q&A period of this call.
Operator: Thank you, sir. (Operator Instructions) Our first question this morning is from the line of Robert Mccarthy with Robert W. Baird. Please state your question.
Robert Mccarthy – Robert W. Baird & Co., Inc.: Hi, gentlemen.
Charles L. Szews: Good morning, Rob.
David M. Sagehorn: Good morning, Rob.
Robert Mccarthy – Robert W. Baird & Co., Inc.: Can you help us to understand better why such strong out performance in the access equipment segment in the quarter and an incremental price increase announcement would not result in at least the sustainment of the same growth expectations for the coming year? In other words, I understand that you left your absolute revenue forecast for access equipment relatively unchanged, but it seems to me that you would have been well justified to improve on that forecast, I’m just wondering why?
David M. Sagehorn: All right. I suppose the real rationale forward is that, we were a bit surprised by the material cost increase that we had in the quarter, and the price increase that we went out with was probably little bit higher than we had planned earlier in the quarter, but given the kinds of material cost increases we are facing, we felt it was important to address them. It looks like the industry generally is heading in that kind of direction, we announced a 5% increase effective January 1, and I think what we’d like to see is a little bit more time to pass before we adjust or go any further.
Robert Mccarthy – Robert W. Baird & Co., Inc.: I might infer from that, that there some logic to the idea that you might get a little volume leakage because of the higher prices?
David M. Sagehorn: I don’t think so right now. Our backlog is quite robust.
Robert Mccarthy – Robert W. Baird & Co., Inc.: Okay.
David M. Sagehorn: It reflects the prices increase that we announced January 1, about half of the backlog for calendar 2012. So I think we are off to previous start for the year to exit.
Robert Mccarthy – Robert W. Baird & Co., Inc.: Okay. And if I could follow that up, I’d like to ask about the Fire segment, would you characterize the issues that you saw in the quarter as issues more of planning in terms of what your expectations were or the execution itself. And can we look for the loss to get smaller after adjusting for the restructuring expenses, so if the loss gets smaller in the upcoming quarter?
Charles L. Szews: I think we missed both in planning and execution in our Florida operation that impacted our results in the quarter. I do think that the loss will get smaller going forward. Our production efficiencies improved in September and again in October, but I do think that will happen. But we have a little way to go on, we’ve got full time team there from around our company to produce trucks at the Oshkosh standard.
Robert Mccarthy – Robert W. Baird & Co., Inc.: Okay. Thank you.
Operator: Thank you. Our next question is coming from the line of Jamie Cook with Crédit Suisse. Please state your question.
Jamie Cook – Crédit Suisse AG: Hi, good morning.
Charles L. Szews: Good morning.
David M. Sagehorn: Good morning.
Jamie Cook – Crédit Suisse AG: Two questions, one, just a longer term question Charlie, it’s been in the press when we think about the JLTV, some of your peers are talking about walking away from the project from that contract because they can’t make sense of it economically and they’re concerned on how you manage the risk on that contract relative to ensuring that you’re increasing shareholder value. So how do you think about bidding on that contract in light of what we learned from the FMTV contract, and then my second question is on the corporate G&A line, I guess I’m surprised as we look at 2012 again, and we look at where sales are relative to peak, and what the outlook is that, on a run rate basis corporate G&A shouldn’t be going down more substantially. So how do we think about that longer, how do we think about that longer term, or are there any ways we can be more aggressive to sort of take more costs out of the corporate line given the macro environment?
Charles L. Szews: Sure, regarding the JLTV, I recall an article being written that someone was – supposing that some people are going to drop out of the competition. But I haven’t heard that anyone is dropping out of the competition. At the JLTV debrief or the RFP all the players were there, there in force, and I don’t think there is much credibility to the fact that anyone will drop out of the competition. So I guess…
Jamie Cook – Crédit Suisse AG: But in that respect, how do you think about the risk associated with bidding on that contract, given I think price per vehicle is going from, I don’t know it’s 300 to 230 to 270, the risk on that project or what you view as unacceptable return on margin profile in light of FMTV for Oshkosh specifically?
Charles L. Szews: Yeah. I mean this program and FMTV are really very different. FMTV we’re bidding to somebody else as technical data package. That is so different than bidding to your own. And we can go on all day talking about what we experience in the FMTV program, I mean number one, we have a smart customer, three times, they saw a good price, they ordered three times the quantity right in advance of scheduled price increases in the contract. So they took advantage of that, that’s fine. And we had new terms in this contract, we are building some deals with technical data package that’s not even built. So we have a lot of different issues there. The JLTV is a truck that we are on our sixth generation, we know the building material extremely well, we will have plenty of time of quote every component get fixed pricing from our supplier base over the term of the contract. So we will be very well dialed in to be able to bid that contract. We feel very good about it. We launched it about a month ago, our L-ATV, we’ve put plenty of test miles on the vehicle and I think they’re going to be really tough competitor, and not really worried about repeating any thing that we had in the FMTV. With respect to corporate G&A, we share your concern there. We do have some MOVE initiatives that are going to causes to be flat to slightly up. That’s not decided. Dave, and I are still looking at means to take the number down.
Jamie Cook – Crédit Suisse AG: All right. Thanks. I will get back in queue.
Operator: Thank you. Our next question is from the line of Pete Skibitski with Suntrust Robinson. Please state your question.
Peter Skibitski – Suntrust Robinson Humphrey: Good morning, guys.
Charles L. Szews: Good morning, Pete.
David M. Sagehorn: Good morning.
Peter Skibitski – Suntrust Robinson Humphrey: I was just wondering if you could quantify for us your expectation for Q1 and Q2 losses on FMTV at this point, and maybe kind of what you think if you can give out kind of a goal in terms of peak margin on that program, sort of as you go forward?
David M. Sagehorn: Pete, good morning, it’s Dave. In terms of quantification for the upcoming two quarters, I don’t think we are going to get that granular. What I would say is, we had great performance in the fourth quarter compared to the third quarter, a lot of progress was made, that gives us more confidence going forward on that, and I would expect that you will see improved performance yet again in our first fiscal quarter of 2012. And as Charlie mentioned in our prepared remarks that we expect to be profitable on the program in the second fiscal quarter.
Peter Skibitski – Suntrust Robinson Humphrey: Okay. And then as a follow-up, I’m just wondering if you can tell us how much cost you’ve taken out of your total business kind of net in fiscal ’11. And the maybe should we expect all that to drop to the bottom line in fiscal ’12 or what are the offsets there?
Charles L. Szews: As it relates to the FMTV?
Peter Skibitski – Suntrust Robinson Humphrey: To your total business, since you have done a number of cost reduction initiatives, I know.
David M. Sagehorn: I don’t have all those numbers pulled together right at my fingertips here, we can certainly work on pulling that together, but we definitely have taken costs out, we will see some of the benefit of that coming through in ’12, I think specifically on the Fire & Emergency side as Charlie mentioned, some of the challenges there. It’s probably going to take a little longer than we previously thought to see some of that come through. Access, the move that we had announced previously the fiscal year, moving some of the manufacturing into Romania, that is going well on plan and track. So we expect to see some benefits from that in fiscal 2012 as well.
Charles L. Szews: We are going to be speaking at a couple of conferences over the next week or so, and we’ll find a way to meet that.
Peter Skibitski – Suntrust Robinson Humphrey: Okay. Thank you.
Charles L. Szews: Thanks.
Operator: Thank you. Our next question is from the line of Ann Duignan with JPMorgan Chase. Please state your question.
Ann Duignan – JPMorgan Chase & Co.: Yeah. Hi, good morning, guys.
Charles L. Szews: Good morning, Ann.
Ann Duignan – JPMorgan Chase & Co.: On the commercial business you’re expecting up slightly for the fiscal year, and there you noted a strong RCV sales in Q1. Do you expect calendar year ’12 to be down year-over-year as a result of the pull forward?
Charles L. Szews: There is pull forward, Ann, that we talked about. It’s kind of hard to quantify how much of that is truly trying to get ahead of the bonus depreciation. It’s hard to tell, I think we just kind of have to see how the next several quarters play out on that. We are going to work hard to continue to maintain strong order rates in that business, and hopefully we will achieve what we communicated this morning.
David M. Sagehorn: But Ann, there are some signs we could have some good order intake for the second quarter as well, beyond that it gets little [easier] given such a volatile economy we’re in, we are a little bit cautious in being too robust with an outlook here. So let’s take it one quarter at a time right now, I think we are comfortable by creating guidance in the segment. And hopefully, we can sustain good order intake in the coming quarters and maybe just guide it.
Ann Duignan – JPMorgan Chase & Co.: Okay. And then little bit more, it’s a more tropical question, but given the flat to slightly higher corporate expenses you are forecasting. Why wouldn’t you consider merging the commercial businesses into commercial segment and take out the layer of management there and reduce corporate expense?
David M. Sagehorn: Well, thank you for that idea, and we’ll look at it.
Ann Duignan – JPMorgan Chase & Co.: Okay. I will get back in line. Thank you.
Operator: Thank you.
Unidentified Analyst: Good morning. Any update on the potential for re-bidding, I think it was FHTV?
Charles L. Szews: Yeah, on the FHTV, we do believe that, we will be able to execute a bridge contract here in the near future.
Unidentified Analyst: Okay. Great. And then have you had any discussions with your largest shareholder?
Charles L. Szews: Sorry, but we really don’t comment on discussions with any of our shareholders.
Unidentified Analyst: Okay. Very good. Thanks.
Charles L. Szews: Thanks.
Operator: Thank you. Our next question is coming form the line of Charlie Brady with BMO Capital Markets. Please proceed with your question.
Charles Brady – BMO Capital Markets: Thanks. Good morning, guys.
Charles L. Szews: Hey, Charlie.
Charles Brady – BMO Capital Markets: Just as a follow-up on the last comment on FHTV in the bridge contract, can you give us an update on what’s the status of the technical data package as to whether or not you are going to retain that or sell it?
David M. Sagehorn: Charlie, we’ve had as Charlie indicated there’s ongoing discussions with the FHTV, and hope to be able to something soon here. At this time, the technical data pack would not be a part of that announcement.
Charles Brady – BMO Capital Markets: Okay. And then on FMTV, you mention I think on a test grade you run 30 trucks and 15 trailers, are you interested in moving to that rate at some point, and can you give us a little more granularity, you talk about processes being brought in-house, little more detail on what are we doing in-house now that’s helping up the margin on that project?
Charles L. Szews: Okay. In the next three to five months, we do expect to be just under 40 trucks a day and 16 trailers. So we are continuing to ramp up production, we’ve tested the upper limit of where we need to be and we feel very confident being able to sustain that kind of a level. And what kind of work that we’ve done in-house, from the beginning of the program, we had outsourced significant, I guess PDI activities, pre-delivery inspection activity, all that is virtually in-house today, and we continue to ramp up in those areas. We had also outsourced some, I guess rework, all that’s now in-house and basically that’s it.
Charles Brady – BMO Capital Markets: One final one here, on the defense segment. In your prepared remarks, you talk about in order to maintain that $2 billion to $2.5 billion run rate, you have to win new programs in addition to, on the ones you’re doing now. Why do you think there is no run rate just on the existing programs you have right now going out over the next five years? I mean if you were not to win some of these major programs coming down the pipe, is that a step back from the run rate you had indicated previously or have you always kind of begged in the new wins on your sustainable run rate?
David M. Sagehorn: I don’t know what time frame you’re talking about for all of those demands and estimates and etcetera, but I do think there will be a step back in the run rate of our historic programs, that’s where the defense budget is headed. To what level it’d [pose out]. We’re right in front of some major budget decisions by the federal government, and it’d be wrong for me to try to tell you, give some sort of an estimate. And in fact the U.S. government used to be very strong at showing five year budget volumes by program, and that kind of data hasn’t been released in some period of time.
Charles Brady – BMO Capital Markets: Thanks
David M. Sagehorn: Thanks, Charles.
Operator: Thank you. Our next question is coming from the line Jerry Revich with Goldman Sachs. Please state your question.
Jerry Revich – Goldman Sachs: Good morning and congratulations on the improved FMTV performance. Charlie backing out the FMTV and M-ATV businesses our your sales and EBITDA, it implies just over 200 or so basis points of margin pressure on the base FHTV business from fourth quarter levels in fiscal ’12, one, is that right? And two, can you just talk about how much of that is the product development cost versus truck mix versus other factors? Thanks.
Charles L. Szews: Okay. Well, I don’t have your calculation in front of me, and I don’t have the time to do it right now, what I would tell you is that, we are spending pretty significantly for the programs, again we’ve submitted TAPV bid for Canada during the quarter, that involve significant blast testing, independent sites building test vehicles that we had to expand, etcetera. We are very active on the JLTV program building for that, building prototypes also for the MECV, which is the Humvee recap program. So we have quite of bit of new product development type spending in this segment. There probably also was some mix in the balance of this segment depending upon which of a variance we are building, there can be some impact that we’re seeing.
David M. Sagehorn: Jerry, last quarter we talked about that specifically in terms of some of our legacy program, we’ve had some new variance that we had launched and that would have an impact on the overall margin or the legacy business.
Jerry Revich – Goldman Sachs: Okay. And Dave can you flash out for us your net income to negative free cash flow and guidance bridge, I think net income after CapEx and depreciation is about $200 so million on your guidance, and I think only half of that is required to build the access equipment working capital, can you just provide some more color on the bridge? Thanks.
David M. Sagehorn: The drivers that we see as we mentioned in the prepared remarks would be the lower earnings, which are baked into the net income. Performance based payments in the Defense segment and then the working capital requirements as you’ve mentioned on the access business. So I guess, as I look at the items you’ve laid out there, the piece, you probably need to factor in would be the change in performance based payments.
Jerry Revich – Goldman Sachs: Thank you.
Charles L. Szews: Okay.
Operator: Thank you. Our next question is from the line of Zolidis with Buckingham Research. Please state your question.
John Zolidis – Buckingham Research Group: Hey guys, first I wonder if you can give us any help on, how do we monitor the age, like the age of the installed base of some of those different municipal vehicles to figure out instead of just looking at the waiting for the end markets to get better, is there anything you can give us a little color on what’s happening, where’s the fleet age, where has it been historically, just so we can see if there might some trends, some positive trends that would happen before the end markets get better?
Charles L. Szews: There isn’t any regular reporting on the age of the installed fleet in fire, which is probably one of the principal market. What we do know is that, probably 3 or 4 years ago there was a study done, like a one-time study and at that time, the average age of the fleet was over 15 years old, all right. And probably when we’ve gotten older since then. So it’s an old age fleet, it probably don’t have the money, I mean, it’s going to age. And fire trucks can’t last a long time, it’s not unusual for them to last 25 to 30 years in a real environment, whereas in a – that be urban environment, five years would be a long time. So I would say that they can’t continue age probably through 2012, maybe into 2013, at some point you’re right though, no matter what the company is like, they will start needing to replace their fleet.
John Zolidis – Buckingham Research Group: And I didn’t hear through all your comments any sort of characterization of what you think overall defense industry spending is going to do, and just say 12 and 13. But I forget you guys are close enough to those discussions, you can give us a sense?
Charles L. Szews: Well, the reason we can’t is that, yeah we’re close to a lot of discussion, we hear opinions on all sides and I don’t know that we can, we operate out of Oshkosh not out of Las Vegas. And so we don’t really have the good bidding line for you and where this is going to come out.
John Zolidis – Buckingham Research Group: All right, thank you.
Operator: Thank you. Our next question is from the line of Brian Rayle with Northcoast Research. Please state your question
Brian Rayle – Northcoast Research: Good morning, congratulations on the quarter. Most of my questions have been answered, I think what might be helpful would be, I guess to discuss especially in the Fire & Emergency and Commercial side. Obviously those margins are below sort of their long run historical averages. Is there something that has happened structurally that in piece of those margins going forward or is it truly an end market demand issue?
Charles L. Szews: Okay. I do think it’s primarily an end market issue, certainly in the commercial segment we’ve blended, we’re probably down, the markets are done two-thirds in that segment. And there are few companies that sustained profitable operations, when they’re down by two thirds. So I think it’s been a heroic effort on the part of the commercial segment to stay profitable. And the [firmerency] they were down 40% or so at least in our largest business Fire & Emergency, there I think it’s a bit of a mix, the impact on profitability is significantly going down 40%, and you kind of chase it down a little bit by taking cost out, we also fumbled in our Florida operations consolidation, we will fix that. So I do think that you will see improved performance in Fire & Emergency in fiscal 2012, in terms of the long-term, where the markets go for both commercial and Fire & Emergency, I do think it’s going to be slow for a couple of years. I think fundamentally, we are going to change to get better. I do think that the market dynamics ultimately has to improve in both segments, overtime.
Brian Rayle – Northcoast Research: When you make the statements, you guys improved, does that mean that you are going to improve to get back to the historical average margin, or that you think you can push that margin higher?
Charles L. Szews: Right now, both would be certainly a target. Our initial target is even in these worse of times, we need mid-single margins, and that’s where we are pushing the company everyday. Then in a recovery, that should enable us to sustain better margins that recover. But we have to do the first, first.
Brian Rayle – Northcoast Research: So I guess, if and this will be my last, I apologize. But so if we are thinking about it conceptually, there is no reason to think in normal economic times that the Fire & Emergency won’t return to that 8% to 10% historical range, and then commercial backed its operating profit line, its historical range either?
Charles L. Szews: So summed it up well, I think we can do that, we have plenty of opportunity to take cost out of our business to innovate, to improve margins, right now it’s execution.
Brian Rayle – Northcoast Research: Okay. Great, thank you very much for the time.
Operator: Our next question is from the line of Basili Alukos of Morningstar. Please state your question.
Basili Alukos – Morningstar, Inc.: Hi, guys, good morning.
Charles L. Szews: Good morning.
David M. Sagehorn: Good morning.
Basili Alukos – Morningstar, Inc.: First question is on the FMTV, I’m just trying to get a sense of, I mean so it’s not up to a profitability level, if that’s more of a throughput issue, given you talked about in your risk factor there had been a reduction in orders or is that just you haven’t gotten your cost structure to a point where you can be profitable?
David M. Sagehorn: Well, right now we need our cost structure, and again taking back to my earlier comments, our customer did triple by in the first year, and did this prior to some scheduled price increases, so they’ve put us behind the ball immediately, because with the higher volumes we had to invest significantly more in capital, and trying to hire over 500 employees to built or ramp up the production levels that we need to get to infixed from – taking of that package not being very accurate from contract changes etcetera. So we had our struggles from where we are today to where we need to be in the second quarter of fiscal 2012 in terms of getting to profitability. Right now it is solely in our camp to take cost out of the program. We have them all in our site, we’ve got everyone delineated what we need to do from today until January, 2012, and we expect to get it done.
Basili Alukos – Morningstar, Inc.: Great. And then just one follow-up, kind of asking a little bit differently as far as your long run guidance, defense business. When you’re making that assessment or giving that number, was it based upon kind of an absolute level of defense business, or the defense budget, which you’re kind of incorporating into how you got that $2 billion to $2.5 billion. And I’m asking, just given what might happen with the defense budget, the fed cut that maybe we could infer what kind of percentage change could be in that long run defense moves?
David M. Sagehorn: Good question, and actually there’s a linear progression to say based upon this assumption, at this budget level etcetera. If we’re into sequestration, it will be more difficult to get to the $2 billion to $2.5 billion, I’d tell you that. I wouldn’t say that, that wouldn’t still be possible. We certainly got a significant installed base, we’ve got a remanufacturing opportunities as vehicles come back from Iraq and Afghanistan. We’re bidding on a number of large international programs, Canadian TAPV is one of them, but the Canadian MSVS program is right behind it, we got programs that we are working in the Middle East, etcetera. And I do think that some of these U.S. programs like the M-ATV and/or in JLTV we’ll go forward. And we are going to be a tough competitor for them.
Basili Alukos – Morningstar, Inc.: Great, thanks a lot.
Charles L. Szews: Thank you.
Operator: Thank you. Our next question is from the line of Josephine Millward with Benchmark Capital. Please state your question.
Josephine Millward – Benchmark Capital: Good morning.
Charles L. Szews: Good morning.
David M. Sagehorn: Good morning.
Josephine Millward – Benchmark Capital: Charlie, can you just expand on what’s causing this government hire constraints and do you think it could still over to other military trucking programs?
Charles L. Szews: Okay, I don’t believe to blame for some of it, in a positive way. If you go back a year, but the only use for this tire was our Oshkosh Corporation, our heavy programs in the M-ATV. The government then went to upgrade the survivability on other MRAP programs, and we put our TAK-4 suspension on some of those other MRAP vehicles for other MRAP OEMs and it’s part of that package, we’ve put on this special tire. And those that didn’t use our independent suspension also decided to use this special tire to improve their off-road mobility. So we really led the industry in using this tire, all right. Now thus forward to today, there is this constrained capacity of being able to produce this tire in the industry. We’re building underbody improvement kits for the M-ATV to improve the survivability level of M-ATV in Afghanistan. Those kits are doing quite well in theater, and we’re meeting or exceeding all of our installation deadlines to-date for those kits in theater. So the government has asked us to accelerate our installation of those kits on our M-ATVs in theater. And that has significantly pushed forward the number of uses of this tire really into the second fiscal quarter of 2012, and we just don’t think that given the tire capacity, production capacity of our supplier that we’re able to recover this volume by the end of the fiscal year. So it does revolve around UIK kits that we’re delivering, it’s a great thing for the war fighter, we are going to save a lot of lives. It’s not so great for our earnings, but I guess that’s secondary to saving lives in Afghanistan.
Josephine Millward – Benchmark Capital: That’s helpful. And how would you characterize your visibility, for the defense business in fiscal year ‘12, since the government is operating under SCR, but I know you have a fairly large backlog. So would you say visibility is pretty good?
David M. Sagehorn: Yeah, I’d say visibility is excellent, except for perhaps tire issue. We think that we have captured the extent of the tire issue for fiscal ‘12 at the present time. But it is possible that another situation arises where the government decide that they want to redirect giving more tires. All right, I don’t think that’s going to be the case now, we’ve been working very closely with all our parties for the last few months. And very intense discussions in modeling, we have one individual whose sole purpose in life is to track tires. And we think we are getting on top of it. But again the situation in Afghanistan could change overnight. But that would be the primary I guess concern, otherwise we do have a full backlog?
Josephine Millward – Benchmark Capital: I just have a final question. Do you still expect the SMTV to be close to 40% of your defense revenue in ‘12?
Charles L. Szews: Yes, we do.
Josephine Millward – Benchmark Capital: Great. Thank you.
Operator: Thank you. Our next question is from the line of Walt Liptak of Barrington Research. Please state your question.
Walter Liptak – Barrington Research: Hi, thanks. Good morning.
Charles L. Szews: Good morning.
Walter Liptak – Barrington Research: In the press release, you just called out the M-ATV vehicle and parts. I wonder is the M-ATV trucks, is that material or is it mostly parts that run in through the 292?
Charles L. Szews: Yes, mostly parts, Walt.
Walter Liptak – Barrington Research: Okay. And I guess what I’m trying to get an idea for is, in your 2012 guidance, how much is, is there really any M-ATV trucks that are getting…
Charles L. Szews: Oh, sure.
Walter Liptak – Barrington Research: …ordered?
David M. Sagehorn: Sure. Absolutely. As we said in the prepared remarks, we expect to deliver more than 400 in our first fiscal quarter. So that’s a significant volume in terms of dollars.
Walter Liptak – Barrington Research: Okay. And you said, are we now at a run rate for M-ATV trucks and parts for the full year?
Charles L. Szews: I think all those M-ATV shipments are set to expire in the first fiscal quarter. And then we would be out of production in the M-ATV unless we get additional requirements from (inaudible).
Walter Liptak – Barrington Research: Okay. Do you get much visibility on the parts?
Charles L. Szews: Other than what’s in backlog we don’t have perfect visibility now.
David M. Sagehorn: Unless there is a program for an upgrade like the UIK kits, we don’t get into something like that, which we’re currently working to fulfill that contract.
Walter Liptak – Barrington Research: Okay. And then if I could switch to the Fire & Emergency, did you quantify the amount of the cost for moving mobile medical, an ambulance to Florida?
David M. Sagehorn: In the quarter, it was six, we talked about $6.9 million of restructuring related costs.
Walter Liptak – Barrington Research: Okay. And how much more of that falls in the next quarter?
David M. Sagehorn: We will see probably several million more into the first fiscal quarter.
Walter Liptak – Barrington Research: Okay. Okay, great. Thank you.
Charles L. Szews: Thanks.
Operator: Thank you. Our next question is from the line of Seth Weber of RBC Capital Markets. Please state your question.
Seth Weber – RBC Capital Markets, LLC: Hey, thanks for taking my call. I’m just wondering on the strength in the Aerials business, can you characterize that? Is that coming primarily from the top tier national rental companies or are you starting to see some pick-up in orders from the second tier or the independent guys?
Charles L. Szews: The order pick-up is largely from the national rental companies. Obviously, we’re taking orders from the independent rental companies as well. But they tend to pick up a little later in the cycle, when their credits are a little bit stronger.
David M. Sagehorn: The challenge for the smaller guys through the uptick that we have seen over the past three to four quarters has really been related to their ability to get credit.
Seth Weber – RBC Capital Markets, LLC: Okay. So that really hasn’t started to inflect. Is that what you’re saying?
David M. Sagehorn: We have seen a few incidences where the small guys have been able to get credit, but I wouldn’t say that it’s back to normal levels.
Charles L. Szews: Yeah, it’s still largely driven by the national rental companies.
Seth Weber – RBC Capital Markets, LLC: Okay. Great, thank you very much.
Operator: Thank you. Our next question is from the line of Ben Elias with Sterne, Agee. Please state your question.
Ben Elias – Sterne, Agee & Leach: Thank you, good morning.
Charles L. Szews: Good morning.
David M. Sagehorn: Good morning, Ben.
Ben Elias – Sterne, Agee & Leach: Just talking of your Defense business, going back to ’07, it was $5 billion for pretty good margins there. And you went all the way to $7 billion plus. When I look at your 2013 delivery schedule, it’s about $1.7 billion, and you are talking about winning orders to sustain that $2 billion plus. How do we think in terms of break-even for the business, what additional restructuring are you doing? And could you sort of talk about big picture for the company, when you’re facing material headwinds like this, what’s your cost takeout target in terms of dollars, and so can you just breakdowns, what comes from sourcing, how you’re all staying that with sourcing or footprint rationalizations as well as some of the other things?
David M. Sagehorn: Well, I'm going to need to rather (inaudible) to answer that question. I think the bottom line is that, if there are significant declines in volumes we will adjust our cost structure accordingly, and we will look in all fronts, we would possibly have to close facilities. We look to our supply abilities, we look to production efficiency etcetera. But right now, we are focused on winning programs both domestically and internationally to keep our factories running and profitable.
Ben Elias – Sterne, Agee & Leach: I mean would you say 50% of your actions would be footprint reductions or will that be higher, what percent of that would come from the sourcing actions?
David M. Sagehorn: Again it depends on the mix of programs that we are building at a time, and this is kind of a hypothetical question, and we don’t have enough facts in front of us to answer that.
Ben Elias – Sterne, Agee & Leach: Okay. Thank you.
David M. Sagehorn: Thanks.
Operator: Thank you. Our next question is a follow-up from line of Robert Mccarthy with Robert W. Baird. Please state your question.
Robert Mccarthy – Robert W. Baird & Co., Inc.: Thanks for taking my question guys. I wonder if you could just help us with the free cash flow generation in the quarter, and the outlook apparently, the lack of lump sum payment in UAW had some influence there or was that some material number in terms of like the $51 million of debt reduction in the quarter for example?
Charles L. Szews: Rob, it wasn’t that significant of an item, but we’re all, I think that free cash flow in the quarter was around $80 million. But that didn’t play a big part in it.
Robert Mccarthy – Robert W. Baird & Co., Inc.: Okay. And in terms of the working capital outlook in 2012 and the swing in that working capital, but the influence of payments on contracts, how big of a drag is that in ’12?
Charles L. Szews: It’s going to be based on what we see today, it will be meaningful. I think back to one of the earlier questions, if you do put together some of the pieces there, the big change or drag in fiscal ’12 will be the working capital component, and of that there is two main pieces, the biggest piece would be the performance-based payments and the other would be at access.
Robert Mccarthy – Robert W. Baird & Co., Inc.: All right. Thank you for that clarification.
Operator: Thank you. Our next question is from the line of Ann Duignan with JPMorgan Chase. Please state your question.
Ann Duignan – JPMorgan Chase & Co.: Yeah, just a couple of follow-ups, did you tell us how much the UAW costs were, were they in Q4 or are they in Q1 and therefore impact recurring to your free cash flow outlook?
Charles L. Szews: There was no upfront lump sum payment in the final negotiated contract, so other than some changes to hourly wage rate and healthcare on our premium contributions et cetera, there really is no impact.
Ann Duignan – JPMorgan Chase & Co.: Okay. And then could you just remind us of the timeline between now and your next board meeting in terms of time swap for proposed or requested directors and have you had any request yet?
Charles L. Szews: The date, the events, the reporting deadline is Sunday, November 6.
Ann Duignan – JPMorgan Chase & Co.: And have you had any requests for additional directors as yet?
Charles L. Szews: We don’t comment on that.
Ann Duignan – JPMorgan Chase & Co.: Can you at least confirm that there are 11 directorships approved in (inaudible) and two open the slots, is that correct?
Charles L. Szews: We have 13 directors and that’s really all I can say at this time.
Ann Duignan – JPMorgan Chase & Co.: Okay. So we should watch for the November 6 date?
Charles L. Szews: I guess.
Ann Duignan – JPMorgan Chase & Co.: Okay.
Charles L. Szewsz: Yeah.
Ann Duignan – JPMorgan Chase & Co.: So, okay. Thank you, that’s it.
Operator: Thank you. We’ve reached end of our allotted time for question-and-answer session. There’s time for one final question. That final question is from the line of Pete Skibitski as a follow-up from Suntrust Robinson. Please state your question.
Peter Skibitski – Suntrust Robinson Humphrey: Yeah, just a question on split guys, in the sense of your aftermarket business. I'm just wondering what your expectation is for Defense aftermarket sales, maybe on a percentage of overall defense sales basis on fiscal ’12 versus where you ended up ended up for fiscal ’11?
David M. Sagehorn: Pete historically, what we’ve done, call it in 15%, 20% of segment sales, I don’t see it being significantly outside that norm, may be towards the high-end of that range in ‘12.
Peter Skibitski – Suntrust Robinson Humphrey: Okay, okay. And real quickly on access domestic versus international, can you just speak to what that split is fiscal ’11 versus fiscal ’12?
David M. Sagehorn: ’11 actually ended up being higher than we had seen in the past several years and that’s largely due to the strength of the rebound that we’ve seen domestically, and in North America here, and that’s driven by the large amount of companies. I think we’ll continue to probably see that as we go into fiscal ’12 as well.
Peter Skibitski – Suntrust Robinson Humphrey: Okay. So domestic will grow versus the total?
Charles L. Szews: I think in terms of a percentage, it will still stay stronger that we have experienced historically.
Peter Skibitski – Suntrust Robinson Humphrey: Okay. Thank you.
Operator: Thank you. And ladies and gentlemen, we’ve come to the end of our allotted time for question-and-answer session. I will now turn the floor back to management for closing comments.
Charles L. Szews: Okay. Thank you very much for your attention today, and we look forward to serving you. Take care.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for you participation.